Operator: Greetings and welcome to CSW Industrials Fiscal Second Quarter 2022 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Adrianne Griffin, Vice President of Investor Relations and Treasurer. Please go ahead.
Adrianne Griffin: Thank you, Maria. Good morning, everyone and welcome to the CSW Industrials fiscal 2022 second quarter earnings call. Joining me today are Joseph Armes, Chairman, Chief Executive Officer and President of CSW Industrials; and James Perry, Executive Vice President and Chief Financial Officer. We issued our earnings release, presentation and Form 10-Q prior to the market's opening today which are available on the Investor portion of our website at www.cswindustrials.com. This call is being webcast and information on how to access the replay is included in the earnings release. During this call, we will make forward-looking statements. These statements are based on current expectations and assumptions that are subject to various risks and uncertainties. Actual results could materially differ because of factors discussed today in our earnings release and the comments made during this call, as well as the risk factors identified in our Annual Report on Form 10-K and other filings with the SEC. We do not undertake any duty to update any forward-looking statements. I will now turn the call over to Joe Armes.
Joseph Armes: Thank you, Adrianne. Good morning and thank you for joining our fiscal second quarter conference call. CSWI posted impressive second quarter results, building on momentum from the ongoing TRUaire integration, along with organic growth aided by disciplined price actions and demand in end-markets recovering from last year's general economic downturn. In collaboration with our resilient team members around the globe, our leadership team has managed the macro headwinds and challenging dynamics for the past 20 months, including accelerating inflation, supply chain challenges and operational dislocations, with extraordinary diligence, professionalism, resolve and customer focus that are consistent with the high standards we set for ourselves. To provide context for our fiscal second quarter performance, I'll highlight a few key metrics. As compared to the same prior year period which was then our strongest quarter on record, we achieved 48% revenue growth, of which 15% was organic growth and 33% was inorganic growth from our TRUaire acquisition. EBITDA growth was 33% and quarterly earnings per share attributable to CSWI rose to $1.14 compared to $1.10 in the prior year period. For additional perspective, if we compare this quarter's results to this quarter two years ago which was our fiscal 2020, top line growth was nearly 54%, including organic growth of 19%; adjusted EBITDA growth was a compelling 50%, 5-0 and adjusted earnings per share increased 24%. We are pleased to have achieved these results as they illustrate our success in providing high-quality, innovative products with excellent customer service while limiting disruptions to our customers and partners and minimizing product outages. In short, our customers rely on us to be dependable partners for their distribution network and we have not disappointed them. Next, I would like to provide an update on our TRUaire manufacturing operations in Vietnam. As reported on our August earnings call, in response to strict local COVID protocols, we were required to reduce the number of employees on site. Through extraordinary accomplishments by approximately 250 team members who lived and worked on-site, we continued manufacturing key products and kept all of our team members safe. Vietnam's COVID restrictions have relaxed in recent weeks and we now have approximately 1,150 team members working at our facility and are in the process of returning to full production. For perspective, on average, during August and September, we shipped nine containers of product per week which compares with 22 containers in the week ended October 29, 2021. We anticipate reestablishing full operations, or approximately 36 containers per week, by the end of November. Strategic production decisions we made in conjunction with our TRUaire inventory position in the United States proved sufficient to meet customer demands; and as a result, no loss of TRUaire revenue is expected for this fiscal year. During the quarter, we integrated two of the five TRUaire distribution centers and now ship both RectorSeal and TRUaire products from our Jacksonville, Florida and Santa Fe Springs, California warehouses. This co-location allows us to fulfill a portion of RectorSeal's customer orders from the Southeast and the West Coast, significantly reducing the time between order placement and delivery. Turning to our stated capital allocation priorities. Since closing the acquisition of TRUaire in December of 2020, we repaid $41 million of credit facility borrowings that funded that acquisition. During the first six months of this fiscal year, we paid $4.7 million in dividends and we have invested capital to implement our enterprise resource planning systems and automation, safety and efficiency initiatives. Through our rigorous risk-adjusted returns analysis, we will continue evaluating inorganic investments and we have a very healthy pipeline of opportunities. The key differentiator for our company is our distribution network and we will continue seeking to add products that exploit our distribution channels in the most profitable end-markets we serve. Our organization stands ready to capitalize on the next compelling opportunity. At this time, I'll turn the call over to James for a closer look at our results and then I will conclude our prepared remarks with thoughts on the remainder of the fiscal year.
James Perry: Thank you, Joe and good morning, everyone. Our consolidated revenue during the fiscal second quarter of 2022 increased 48.3% to $155.6 million, with higher revenue across all three segments compared to the prior year period. Consolidated gross profit in the fiscal second quarter was $63.1 million, representing 29.4% growth, with the incremental profit resulting predominantly from the TRUaire acquisition and increased organic sales volumes and pricing initiatives. Gross profit margin was 40.5% compared to 46.4% in the prior year period. This margin decline is due in part to inclusion of the TRUaire business and the $1.2 million of incremental cost of goods sold resulting from reduced production levels at the TRUaire manufacturing facility in Vietnam. The reduction in profitability was also impacted by ongoing material and freight cost inflation that outpaced instituted price increases in some mid-markets served and a shift to lower-margin projects in the engineered building solutions segment. Consolidated operating income increased by 16.7% to $25.9 million, equating to a 16.6% margin, a 450 basis-point decrease over operating margin in the prior year period as the decline in gross profit was partially offset by an improved operating expense margin. Consolidated EBITDA increased 33.3% to $33.8 million as compared to the prior year period. Consolidated EBITDA as a percent of revenue was 21.7% and 24.2% in the current and prior year periods, respectively. As a reminder, we are very focused on profitability comparisons utilizing EBITDA due to the amount of intangible amortization resulting from the TRUaire acquisition last year. Reported net income attributable to CSWI in the fiscal second quarter of 2022 was $18 million, or $1.14 per diluted share compared to $16.4 million, or $1.10 in the prior year period. There were no adjustments in either period. And in the current period, there were 969,000, or 6.5% more weighted average outstanding shares, primarily due to the shares issued to the sellers of TRUaire last December. Transitioning to a discussion of our segments. As compared to the prior year quarter, our contractor solutions segment accounted for 66.4% of our consolidated revenue and delivered $40 million, or 63.1% total growth, comprised of organic revenue growth from pricing initiatives of $4.8 million, or 7.6% and inorganic growth from the TRUaire acquisition. Segment EBITDA was $32.4 million, or 31.3% of revenue compared to $23.1 million, or 36.4% of revenue in the prior year period. Providing additional context for these results. In April of calendar year 2020 which marked the beginning of our fiscal 2021 year, traditional HVAC/R demand shifted out of our fiscal first quarter due to early COVID restrictions and then rebounded quickly as initial restrictions were relaxed in the early summer of 2020. This demand shift resulted in our fiscal 2021 second quarter significantly outperforming our fiscal 2021 first quarter. Due to this dynamic, we believe fiscal 2022 first half to fiscal 2021 first half is a compelling comparison. With this year-to-date comparison, our contractor solutions segment delivered $100.3 million, or 88.6% total revenue growth comprised of 27.9% organic growth due to increased sales volumes and implemented pricing initiatives and inorganic growth from the TRUaire acquisition of $68.8 million. This organic growth rate exceeds same-period category growth for our largest end-market served and is in part driven by four pricing actions, the latest of which occurred earlier this week and will take effect in January. During the fiscal first half of 2022, strong segment revenue growth was partially offset by significantly accelerated inflation in material and freight costs, $1.4 million of costs associated with the reduced production at our TRUaire Vietnam facility as well as the increased headcount, depreciation and the optimization of expenses related to our ERP system. Segment adjusted EBITDA in the fiscal first half was $71.8 million, or 33.6% of revenue compared to $40.4 million, or 35.7% of revenue in the prior year period as the increased expenses discussed above and the inclusion of TRUaire outpaced revenue growth. Continuing to our engineered building solutions segment; the air pocket we've mentioned on previous calls has materialized. And while current quarter revenue is roughly flat to the prior year period, this has been achieved by adding lower-margin, shorter-cycle projects to the mix which is negatively impacting current period profitability metrics. Segment EBITDA was $3 million, or 12.6% of fiscal 2022 second quarter revenue. In evaluating fiscal 2022 first half performance, revenue improved $3.6 million, or 7.9% as compared to the prior year period. And this segment has accounted for approximately 16% of consolidated fiscal 2022 first half revenue. During the most recent period of a decline in construction starts, our team actively sought backlog diversification that allowed this segment to stabilize top line revenue, grow our market share in institutional, education and commercial projects, minimize our exposure to multifamily projects and expand geographically. Fiscal 2022 first half bookings increased 17% over fiscal 2021 second half, with fiscal 2022 second quarter bookings up 18% over the fiscal 2022 first quarter, demonstrating an improving trend. As of the end of the fiscal 2022 second quarter, our book-to-bill ratio for the trailing eight quarters was just below one-to-one. Our specialized reliability solutions segment posted another solid quarter of organic revenue growth of $10.4 million, or 58%, due to incremental sales volumes as the end-markets we serve continue recovering from the COVID-driven lows of last fiscal year and price initiatives, the fourth of which we successfully implemented last week. Considering fiscal first half growth, the segment reported increased sales of $16.9 million, or 45.6%, all of which was organic. Price actions have addressed some of the inflationary pressures; and as such, segment EBITDA margin was 8.9% in the second quarter of fiscal 2022, a 160 basis-point improvement compared to fiscal 2022 first quarter. Transitioning to the strength of our balance sheet. We ended fiscal second quarter with $17.3 million of cash and reported cash flow from operations of $42.8 million, a slight decrease over the prior year primarily due to increased investment in working capital to support growing sales which resulted in higher accounts receivable and higher inventory levels. During the quarter, we reduced the amount outstanding under our $400 million revolving credit facility by $17 million, resulting in approximately $200 million of availability as of the end of the fiscal second quarter. As of quarter-end, our leverage ratio was approximately 1.5x, well within our stated range of 1x to 3x. These metrics leave us extremely well-positioned for the continued disciplined allocation of capital, as Joe discussed. The company's effective tax rate for the fiscal second quarter was 25.2% on a GAAP basis and the company continues to expect a 25% tax rate for fiscal year 2022. In light of current economic volatility due to persistent, rapidly rising material and freight costs, combined with the lag in the effectiveness of some of our pricing initiatives, CSWI is providing consolidated guidance for the fiscal 2022 third and fourth quarters as follows: For the third quarter, we expect an EBITDA range of $17 million to $18.5 million and an EPS range of $0.40 to $0.45. For the fourth quarter, we expect an EBITDA range of $33 million to $35 million and an EPS range of $1.10 to $1.20. We are providing this guidance due to the unusual circumstances that we have discussed on this call today and to address the current external estimates for the remainder of our fiscal year. We do not necessarily expect to provide guidance in future quarters. With that, I'll now turn the call back to Joe for closing remarks.
Joseph Armes: Thank you, James. The first half of fiscal 2020 was marked by 62% top-line growth, driven across all reporting segments and all end-markets served. Nearly 27% of this growth was organic, achieved through a combination of price and volume. Adjusted EPS grew by 36% to $2.60. So you can understand why our team is proud of this performance. We are seeing real-time improvements in our supply chain. Our end-markets have strong underlying fundamentals. Specific to our contractor solutions segment, as people continue to work from home, they are investing in their comfort via home renovations at a rate higher than before the pandemic. These are financed by rising home equity and low interest rates. We remain optimistic about fiscal 2023 as our EBS segment bidding activity remains robust. Our recent bookings are strong and new construction activity is regaining pre-pandemic momentum. At the end of September, the Architectural Billing Index was well into expansionary territory at 56.6% which is higher than the August reading of 55.6%. And this is similar to the double-digit improvement indicated in the bidding and construction starts data provided by Dodge in the second quarter. These are strong indicators for future growth in the markets served by our EBS segment. Our new SRS segment leadership has introduced a multifaceted operational effort focused on reduced complexity and increased production accuracy. Prioritizing product innovation, we recently introduced four new products into the market while simultaneously evaluating adjacent markets for organic sales growth and market expansion. Our current month production run rate results in much improved plant utilization and the joint venture with Shell has begun investing capital to expand production capacity at our Whitmore facility. So we are well-positioned to serve our SRS customers through the upcoming cycle. At CSWI, we recognize that our success begins with our team members who have demonstrated strength, resiliency and an outstanding leadership response to COVID and it's many ramifications. We take seriously our responsibility to care for employees and their families. And as a reminder, we did not have any pandemic-related layoffs last fiscal year. Our objective is to compensate our people fairly, to treat them extravagantly, to focus on recognition of excellent performance and to facilitate their professional development. We know firsthand that this has great business and community benefits. We believe that this has translated directly into employee loyalty and higher engagement supported by lower-than-industry average turnover. We recently completed an employee engagement survey with our team members in North America, Australia and the United Kingdom. This was the third such survey in our six year history. And this year, we achieved a 93% response rate which is our highest ever. We are currently analyzing the results but early indications are quite positive and we will develop action plans to address key findings. While labor and wage pressures dominate business media, we have avoided the workforce shortages that have been widely experienced throughout the economy. I would like to extend my sincere thanks to our TRUaire team members in Vietnam and welcome them back to work. Our commitment to our employees in Vietnam, including fair wages and a safe and dignified working environment, is reflected in the fact that over 80% of our team members chose to return to work in our facility when we called. We will certainly benefit from the continuity of knowledge this experienced workforce provides. As always, I would like to close by thanking all my colleagues here at CSWI, who collectively own 5% of the company through our employee stock ownership plan, as well as all of our shareholders for their continued interest in and support of our company. We believe that aligning the interests of our employees and shareholders through our employee stock ownership plan is a powerful driver of our collective success which differentiates our company from those with which we compete. And with that, Maria, we're now ready to take questions.
Operator: [Operator Instructions] Our first question comes from John Tanwanteng with CGS Securities. Please proceed with your question.
Jonathan Tanwanteng: Hey, good morning, everybody. Thanks for taking my questions. James, I was wondering if you could help me better bridge the sequential decline in the profitability. I think you called out the specific TRUaire disruption but I was wondering if you could help me quantify the rest between the increased investments you're making, the inflation and whatever else may have been in the bucket.
James Perry: Yes. John, it's James. Yes. We mentioned specifically the $1.2 million of cost of goods sold because of the under-absorption and some extra wages that we paid the employees that were working in that facility at the cost of goods sold line. So the drop in gross profit of about 5%, that's maybe 1% of it or so. The rest is really that inflationary pressure we see from materials and freight costs. We did mention there's a little bit of increased headcount here and there, some of those things. Most of those type things that we mentioned, the ERP expenses and other would be below the gross profit line; so I'll get to that in a minute. But the gross profit line, beyond the one callout we had, it's really the fact that we've been raising prices as quickly as we can and as quickly as kind of market conditions allowed. We mentioned, for example, we just this week in our contractor solutions business announced a price increase that's effective at the beginning of January. So that gives us good line of sight into our fiscal fourth quarter but we've had now four price increases this calendar year in that segment and it takes a while to get them in, just given industry standards and competition and those kind of things. It's about a 60-day lag usually is kind of what we're looking at, for the most part. And for example, the last price increase was right at the beginning of August, right about the time we had the earnings call. In the last couple of months since we had that price increase, freight costs took another step up. We've started to see that stabilize. Some material prices have taken a step up. And of course, you have the lag of when those costs work their way through inventory and then finally hit the cost of goods sold as you sell that product, as well; so it's really that inflationary pressure. You saw we gave guidance for the third quarter and now fourth quarter, as well. We're going to see that similar type hit here in the third quarter, thus the earnings per share and EBITDA guidance that we gave you. But you can see the sharp recovery in the fourth quarter, given that we now have kind of pricing behind us and you're going to see some of that's already taken effect. The biggest piece in contractor solutions will take place in the fourth quarter when we also have a return from the low point of seasonality in Q3. So, we really think we're going to have a tailwind starting in fourth quarter into fiscal 2023. Below the gross profit line, we saw that we've even picked up a little bit. Yes, we had some expenses with ERP and headcount, extra depreciation with TRUaire, those kind of things. But we actually picked up a little bit from the gross profit line to the operating profit line. Then of course, you look year-over-year, you've got a big difference, as you well know, now that we include TRUaire, a lot more amortization, depreciation which is why EBITDA is a metric we really look at. Does that help?
Jonathan Tanwanteng: Yes, it does. I guess the obvious follow-up to all of that is, as you go through Q3 and Q4 and I understand the drivers that you're seeing, when you get to Q4 and your profitability jumps back up, is that your margins getting back to historical levels? Or is it more of a little bit more catch-up from maybe volume that you might have missed earlier this year? Just help me understand what gets you to that level and if there's still more catch-up to do after that as you head into the next fiscal year.
James Perry: Sure. Yes, this is James again. I'll continue. And I appreciate you mentioned the guidance. As we mentioned, that's temporary for now. We'll see but we thought it would really help, given how unusual conditions are today. So I appreciate you take a note of that. As we look at fourth quarter, you're looking at a quarter that, with the guidance we gave you, looks a lot like the second quarter from that perspective, from an EBITDA and EPS perspective. I think margins are still recovering back to somewhat normal levels. I think we're going to continue to have a guide path to that. But what we've really focused on is recovering our profit dollars with our price increases. We would like to be able to recover the profit margin. I think, in time, we have that opportunity. But for now, recovering those profit dollars and seeing that EBITDA and EPS return to our more like second quarter type levels, I think you're seeing us achieve that first goal of profit dollars. The margin is a little tougher just because of the math. As you raise prices that match costs, your numerator denominator may get you to the earnings number but the profit margin is still going to be a little bit pressured. I think, as we see a return to somewhat normalized costs in time and as we see pricing continue to be rather sticky over time, I think we have the opportunity for margins to continue to recover to historical levels. We're just now starting the process of really getting deep into what our fiscal 2023 that start April 1 look like. So it's a little early for us to talk too much about that other than to say, given the order visibility we had, given the market conditions we have, we think we've got a nice tailwind moving into the fourth quarter and then into fiscal '23.
Jonathan Tanwanteng: And then, last one for me. You gave good color, I guess, on the orders on the architectural side. I was wondering how that squares with what you see in the P&L in the next one or two quarters. Have we hit the trough there yet?
Joseph Armes: I think as we mentioned, in the back half, you're going to see some pressure. The orders that we've been taking here this fiscal year, as you all know, we've talked about an air pocket for a while and it didn't appear as much on the revenue line as we talked about but more as you work your way down the income statement and you look in the 10-Q at the operating income line. You're going to see that pressure continue for a little bit. That is one reason that you see the Q3 profitability down a bit. That segment did a really nice job with profitability in the third and fourth quarter last year. You see some pressure this year because the team has done a good job of finding orders but they're the shorter cycle, lower margin projects. The orders that we're taking now, as you well know, generally, those project-based orders for the bigger projects are longer-term in nature. We see those really helping us return to the higher levers of margin and profitability as we begin fiscal year '23.
Operator: [Operator Instructions] Ladies and gentlemen, we've reached the end of the question-and-answer session and I would like to turn the call back over to Joe Armes for closing remarks.
Joseph Armes: Great. Thank you very much. We really appreciate everyone joining us this morning and appreciate your interest and support of our company. And we look forward to speaking to you again next quarter. So, thank you.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.